Operator: Welcome to the EZCORP Fiscal 2012 Third Quarter Earnings Release Conference Call. My name is Christine. I'll be your operator for today's conference. (Operator instructions) Later we will conduct an question-and-answer session. Please note today's conference is being recorded. I will now turn the call over to Paul Rothamel, Chief Executive Officer. You may begin.
Stephen Stamp: Thanks Christine. Actually, it's Stephen Stamp that's going to start the call. And good afternoon, everyone. This call will address our Third Quarter Fiscal 2012 results. We issued a press release earlier today that is available on our website, www.excorp.com. I would like to remind everyone that this conference call will contain certain forward-looking statements, including statements about our financial and operating performance in future periods. These statements are based on our current expectations. Actual results in future periods may differ materially from current expectations due to a number of risks, uncertainties and other factors which are discussed in our press release and in our filings with the Securities and Exchange Commission. On the call with me today is Paul Rothamel, our President and Chief Executive Officer and Mark Kuchenrither, our Executive Vice President. I'll cover our results for the quarter and then Paul will provide some perspective before we open the lines for questions. I'll begin with our consolidated results. The third quarters record net income of $28.5 million was up 8% and diluted earnings-per-share of $0.56 were up 6%. For the nine months, net income and earnings-per-share increased 23% and 20%, respectively, on a GAAP basis and 13% and 11% on a non-GAAP basis. Compared to the prior year, our third quarter results were positively impacted by our international businesses, specifically, continued growth of Empeno Facil and the consolidation for the first time of Crediamigo and Cash Genie. At a consolidated level the big movers, in revenue terms, were jewelry scrapping sales and consumer loan fees. I'll talk about scrap and gold in particular, inside the U.S. and Canada segment discussion. The 38% in consumer loan fees to $53.5 million in the quarter was driven almost entirely by Crediamigo and Cash Genie. The two acquisitions diversify our unsecured lending business, both geographically and in terms of product mix. The two businesses are also expected to provide accelerated growth in our unsecured lending business. Lastly at the consolidation level, $4.9 million of the $8.3 million increase in administrative expenses resulted from the two acquisitions. Neither Crediamigo nor Cash Genie, are store-based businesses, and therefore, the majority of their cost-base is included in administrative expenses. The remainder of the increase includes the company's continued investment in broadening the management team and infrastructure to support the company's globalization strategy and other domestic and profitability initiatives. I'll now move on to the segments. As you might remember from last quarter, the company's now reporting segment results based on geographic lines. I'll start with our largest segment, U.S. and Canada which includes our 914 stores in the U.S. offering pawn buy/sell, and/or financial services and our 68 Cash Advance and buy/sell stores in Canada. The U.S. and Canada deliver segment contribution of $44.4 million, a $1.9 million decrease compared with the prior quarter driven by the challenges related to jewelry merchandise sales and scrap sales, specifically gold, inside the U.S. pawn business. We estimate that on a same-store basis, the changing gold metrics, both price and volume, from the year-over-year quarter caused a decrease around $6 million in net revenue for the U.S. and Canada segment. And that's assuming we've been flat for last year. So, let's discuss for a minute on the impact gold had on the U.S. business. In dollar terms, jewelry is a percentage of the total U.S. pawn loan balance has remained largely unchanged. In terms of grams, it has declined as prices have risen. The jewelry redemption rate has however, increased over time reaching 86% in the third quarter, resulting, obviously, in less jewelry dropping out of the loan portfolio into inventory for sale. At the same time, volume of jewelry purchases in the quarter decreased 38% on a same-store basis. With a less forfeited-gold collateral and fewer purchases, it's not surprising that jewelry and gold dispositions were also down. Jewelry sales in the U.S. decreased 19% same-store and scrap sales declined 26%, again, same-store. It was these same-store decreases that drove a $6 million net revenue shortfall referenced earlier. Other elements of the U.S. pawn business, however, showed continued strength offsetting to a large extent the challenges in the gold and jewelry environment. Sales of jewelry merchandise, that is everything other than jewelry, increased 23% in total and 9% on a same-store basis. Pawn service sizes increased 14% in total and 7% on a same-store basis underpinned by a 7% growth in total pawn loan balances or 2% on a same-store basis. Growth in the pawn loan balance is a compelling indicator of the overall health of our pawn loan business. Moving over to our consumer loans business in the U.S. and Canada. Although total loan fees increased only 1% in the quarter, net fees increased 7% reflecting much improved bad debt performance. Bad debt as a percentage of fees in the quarter was 24% compared with 28% in the prior year quarter. You might recall in the third quarter last year, we had introduced new installment loan products in Colorado and Wisconsin. The fastest growing of our segments, Latin America, includes 223 Empeno Facil pawn stores and our newest strategic partner in Mexico, Crediamigo. Latin America had another outstanding quarter with revenues up 109% in total. A 38% increase in total revenues within Empeno Facil was driven by a 59% increase in merchandise sales or17% on a same-store basis and a 37% increase in pawn service charges, 7% same-store. Scrap sales were up 6% in total. A 240 basis point improvement in merchandise sales margin offset by 190 basis point reduction in scrap margin helped drive a 64% increase in operating income and 310 basis point improvement in operating margin at Empeno Facil. The average Mexican peso to U.S. dollar exchange rate for the third quarter was 13.5 compared with 11.9 in the prior year, a devaluation of 13%. Pawn loan balances were up 37% in total and 8% on a same-store basis, again, demonstrating the robust growth of our Mexican pawn business. Empeno Facil also continued to execute on its market growth strategy. During the third quarter, we opened 18 De Novo stores bringing the total number of stores opened this year to 45. Crediamigo contributed total revenues of $10.8 million in the quarter and net revenues of $10.2 million after bad debt as a percentage of fees of 6%. During the quarter, Crediamigo refinanced a proportion of its $92.2 million of third-party debt at a lower interest rate. This refinancing led to a one-time reduction in interest expense of $2.8 million for the third quarter due to the amortization of debt premium associated with the refinanced debt and will lead to reduced interest expenses going forward. After administrative interest, other expenses, tax and non-controlling interests Crediamigo contributed $1.8 million to EZCORP net income for the quarter. Crediamigo is continuing to refinance its third-party debt at lower interest rates which will result in further enhancements to Crediamigo's profitability going forward. The third of our new segments, Other International, includes Cash Genie, our online lending business in the U.K. to give it a net income we recognize from our two affiliates, Albemarle & Bond and Cash Converters International. Cash Genie which closed on April 14th, contributed total revenues of $4 million and net revenues of $2.9 million after bad debt as a percentage of fees of 295. After administrative, other expenses, tax and non-controlling interest Cash Genie broke even for the quarter. The acquisition is expected to be accretive in its first, full 12 months. Contributions from Albemarle & Bond and Cash Converters were 2% combined in the quarter. Recall that we recognize their earnings with a three-month lag and this quarter is an estimate based on their last four reported quarters ended December 2011. Now, moving on to the balance sheet. We ended the quarter with $51.8 million cash on hand and debt outstanding at June 30th of $206.9 million, $92.2 million of this debt is recaused only to Crediamigo. The balance of $114.7 million was drawn on our revolver. Total earning assets, which we define as pawn loans, consumer loans and inventory on our balance sheet together with CSO loans not on our balance sheet, totaled $344 million at June 30th, up from $254 million a year ago, an increase of 35%. Lastly, our strategic investments in Cash Converters and Albemarle & Bond are carried on the balance sheet at $125.3 million. Collectively, their market value at June 30th was $144.6 million representing an unrecognized gain of $19.3 million. As noted in our Earnings Release, based on a continuation of recent gold and jewelry trends, we expect earnings-per-share for Fiscal 2012 to be at the lower end of our previously announced range of $2.85 to $2.95 per share. And now, I'll turn the call over to Paul.
Paul Rothamel: Thank you Stephen and good afternoon everyone. As we enter our fourth quarter of the 2012 fiscal year, I'm very pleased with the financial performance of the company and the continued progress toward becoming a leading multi-national provider of instant cash solutions. We have continued to add stores, product, services, channels and talent to our rapidly growing portfolio of businesses. This year alone we added our 200th store in Mexico. We opened our 1,200th location on a consolidated basis, as well, and had 1,250 locations at the end of the third quarter. We began lending online in a meaningful way in the U.K. through Cash Genie. We entered the payroll withholding business in Mexico through Crediamigo and we now serve customers in nearly half of the United States, all of Mexico and the U.K., and five Canada provinces. This does not include the reach of Cash Converters to additional 20-plus countries. Crediamigo and Cash Genie along with Empeno Facil and our strategic affiliates Cash Converters and Albemarle & Bond, accounted for roughly 20% of our segment contribution in the most recent quarter compared with 9% only one year ago. Look for those segments to continue to make meaningful financial contributions over the long term as well. We have delivered strong financial metrics while deploying our capital wisely to get these things done. Strong earnings growth, returns on equity in invested capital and a conservative balance sheet with very little debt have been the cornerstones at EZ. We intend for that to continue as we grow and diversify over the coming years. Our customer, our marketplace and our industry are all evolving. There are fresh sources of capital, new players and strong global competitors all vying for the growing number of disenfranchised consumers. There are also a host of macro-economic pressures our customers are facing today that they have never seen before. We recognize that to be a leading provider in this environment we have to be experts across many products, channels and markets. We have to be nimble and recognize opportunities and marshall resources to capitalize where and when possible. And most of all, we have to listen to our customers well and often. We are doing these things today with strong, local teams across the United States, Canada, Mexico and the United Kingdom. Our business leaders and support staff are delivering record performance across and ever-widening business. We expect to get even better over time as we add more partners and experts, and new businesses in new places. With our sector expertise, our flexible business model, our growing size and scale, and our strong and balanced approach to financial metrics, we expect to provide great shareholder value for years to come. With that, we'll take your questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator instructions) The first question comes from John Rowan from Sidoti & Company. Please go ahead.
John Rowan: Good afternoon, guys.
Paul Rothamel: Hi, John.
Stephen Stamp: Hi, John.
John Rowan: A series of questions. First, does the tax rate stay at 30%?
Stephen Stamp: The annualized rate will be 33.5%, John. We had a sort of a catch-up in the third quarter.
John Rowan: Okay. The gain from the debt retirement  in reference, is that reflected anywhere on the P&L?
Stephen Stamp: It's reflected in a lower interest cost in the Latin American segment.
John Rowan: Okay. All right. Do you have the same-store pawn loan balance?
Stephen Stamp: Yes. For the U.S., it's 2% plus-2 and for Mexico, plus-8.
John Rowan: Okay. Now, how should we look at bad debt expense? I mean, is it going to trend lower, you know, on a  year-over-year basis going forward because of the Crediamigo transaction?
Paul Rothamel: On a consolidated basis the answer's yes and the bad debt at Crediamigo, it's running about 6%.
Stephen Stamp: The one thing you have to remember, John, from third quarter of last year, we were in Colorado and Wisconsin, we were transitioning significantly from Payroll Advance new regulatory Payroll Advance to installment loans, and our bad debt spiked on us in the third quarter and got slightly better in the fourth and much better in the first. But on a consolidated basis, the big mover is Crediamigo going forward.
John Rowan: Okay, fair enough. All right, thank you.
Stephen Stamp: Thank you, John.
Operator: The next question comes from Bill Carcache from Nomura Securities. Please go ahead.
Bill Carcache: Thanks. I guess first off, can we take a step back and can you give a little bit of an update on some of the commentary that you made last quarter about, you know, consumers shifting to more general merchandise collateral and away from gold collateral and the impacts that you kind of saw that having? You know, in some of the conversations that we had with other folks in the industry suggests that they weren't seeing those same trends. And so I wonder, you know, maybe now with another quarter behind us, if you can just revisit that process and then share any new perspectives that you might have?
Stephen Stamp: Yes, Bill. This is Stephen. So, we tried to sort of explain last time. The dollar value of gold and jewelry inside our pawn loan balance hasn't changed a lot but if you separate out ounces and dollars-per-ounce, it has changed quite a bit. So, the number of ounces is down 17%, but that's being compensated for in increased value, such that it sort of hasn't moved the overall dollar percentage. What has changed is the amount that's dropping out of that portfolio, where the redemption rate continues to climb. There's now, as I referenced in the call, 86% and it's been moving steadily up, another 0.5% to 1% per quarter. So, what's that telling us is the gold the customers do have, they do not want to let it go. Secondly, the other source of gold dispositions, which is our purchases, continues to decline very, materially. As I've said on the call, it was near down 38% same-store this quarter. From memory, it was down 49% same-store last quarter. So, the inputs in terms of ounces continue to decline, and therefore the outputs are kind of matching those. And until we start comping these numbers, I think it's probably going to continue for another quarter or three.
Bill Carcache: Okay, that's helpful. Thank you. Shifting to international growth, you mentioned in the release that 20% of your contribution was attributable to international businesses outside of the U.S. versus 9% last year. As we look forward, can you just give us a sense of what kind of growth rates we should expect? That big increase, I think, my sense is a big part of that was basically acquisition-driven. But as we look forward, the relative mix or the relative contribution from the domestic versus international businesses, can you give us some perspective on the growth there?
Paul Rothamel: I think if you look at… let's talk about Empeno Facil first. You should be able to model that based on our store openings and the results that we've had. That's been a fast-growth business over the last couple years. We expect that to continue because we expect to continue the Greenfield locations down there at the same rate, or slightly accelerated than what we've done over the last couple years. We certainly didn't invest in Cash Genie and Crediamigo to slow our growth. We invested in them to diversify, number one, and then also because they are fast-growing companies. So, we would expect that those businesses would grow more rapidly than our, what I would call our more mature businesses, in the United States. Canada is very small to us today, and while we're happy with the results, I don't expect that they will move the needle, like Crediamigo, Cash Genie, and Empeno Facil will as we go into next year and the following year.
Bill Carcache: Okay. And as far as loss rates go, we saw 24% in the U.S. and 6% in Latin America. Should we continue to expect that 6%? We don't have as much history there with the consumer loan fees in Latin America with Crediamigo. Is 6% the right kind of level to expect going forward?
Stephen Stamp: Yes, Bill. I think 6% is a reasonable assumption.
Bill Carcache: Okay, great. Then, I guess just to wrap-up, I guess the timing, Stephen, of your hedging program change was a little bit unlucky in hindsight. I guess, would you share some thoughts on whether the plan is to stick with that at this point, or would you go back? For perspective, can you just give us an idea of how much of an impact the change had this quarter, under hedges just staying under, kind of, the old model that you were following versus where we are today? Under the new approach, what kind of impact did that hedging program change have?
Stephen Stamp: The collar expired worthless for this quarter. The average price throughout the quarter was put in the core of the collar, which I guess tells you it was kind of working. Had we sold the gold for it, I mean I haven't actually done that math, but my gut tells me that gold was actually pretty flat front-to-back in the quarter. I think it was sort of up and down in between the quarter, but front-to-back it was fairly flat. So, I suspect there wouldn't have been a big advantage to selling forward, but I'd have to do that math I guess.
Bill Carcache: Okay, well, thank you very much. I appreciate it. Thanks for taking my questions.
Operator: The next question comes from Kyle Joseph from Stephens Incorporated. Please go ahead.
Kyle Joseph: Yes, good afternoon, guys.
Stephen Stamp: Hey, Kyle.
Kyle Joseph: Could you guys give us some more details on, Mark, I apologize, I don't want to pronounce his last name, I'd probably butcher it, on Mark's promotion, and exactly what Change Capital's responsibilities and strategies are?
Paul Rothamel: We'll let Mark answer that for you.
Mark Kuchenrither: Okay. Yes. Hi, Kyle. I would not have been offended if you butchered my name. I butcher it on a daily basis. So, it's pronounced "Kukenrither" [sic]. I'll talk about Change Capital. Change Capital is an investment arm of EZCORP, and acts as a value-added investor. And we assist local entrepreneurs with our sector expertise, operating excellence, and capital. We try to maximize their return on invested capital as partners and maximize ours as well. We differentiate ourselves through flexibility in our approach, and that enables us to be a partner with the experts. And we select the entrepreneurs because we view that they are local experts in their local markets, and they're looking for strategic help like ours to take their business to the next level. In addition to that, we offer best practices, devocation, and implementation of best practices throughout the business units inside our core businesses at EZCORP.
Kyle Joseph: Okay, great. Thanks Mark. Then, Paul, maybe you could answer this. In terms of the UK, can you give us an idea of what you're seeing there in terms of competition, as well as any potential regulatory developments? There's a story out about UK payday lenders unveiling a new industry code or practice potentially this week?
Paul Rothamel: Yes. The U.K., from our view, is one of the fastest growing markets today, particularly in the non-collateralized part of the U.K. That's probably the thing you should keep in mind. We own interest obviously in both Cash Converters, who has a big presence there, which is a pawn broking presence primarily. Albemarle & Bond is a pawn broking, as well. That's actually the smallest segment of the alternative financial business over in the U.K. So, all the competitiveness you're seeing and the rate of growth is really on the non-collateralized side, and that's why we chose to jump in with Cash Genie, for all the reasons we've talked about before. It's a great marketplace. Yes, we're well aware of all of the discussions around the regulatory fronts over there. I guess I could tell you that we're comfortable and confident that Cash Genie operates in a way that we can flexibly handle whatever regulatory changes they may or may not throw at us. I think, frankly, as we said here in the United States, over time, we think we benefit from more regulatory action. Because, I think today there's over 100 online lenders in the UK. Many of them that are small, and many of them are not great players. They do things that they shouldn't be doing. So, we invite appropriate regulatory action. Through Cash Genie and through Cash Converters particularly, we're very active on the regulatory front in the U.K.
Kyle Joseph: Okay, great, guys. Thanks for answering my questions.
Operator: (Operator instructions) The next question comes from Bill Armstrong from CL King & Associates. Please go ahead.
Bill Armstrong: Good afternoon, guys. Back to the gold and the forfeiture rate being low, why not adjust your LTV's to get that forfeiture or redemption rate to the range that would be better for you?
Paul Rothamel: We do that, Bill. We actually did get more aggressive in the marketplaces as evidenced by the 300 basis points we gave up on rate. We can argue all day if we got aggressive enough, but I can tell you that our U.S. pawn folks are all over it and managing. Obviously, we price volumes and rates, but it's just a challenging marketplace today on the volume side.
Bill Armstrong: Going on another questioner earlier, who commented that competitors are not reporting the same type of experiences that you are, and that's been consistent with my conversations as well. Are your LTVs out-of-line with the rest of the market?
Paul Rothamel: We don't think so. We do competitor shops all the time. We do consumer feedback, both quantitative and qualitative, so we think we're doing some of the right things. I just said, we got aggressive and we may have to get more aggressive in trying to get some volume.
Bill Armstrong: Got it. Okay, thanks.
Operator: The next question comes from Jordan Hymowitz from Philadelphia Financial. Please go ahead.
Jordan Hymowitz: Thanks, guys. What are the most intriguing opportunities you guys have as international? With Cash Converted, especially, you have a 33% interest, and there's been legislation more clarifying the regulatory environment over there. Is that something that's clarified, do you have an interest in taking a larger stake in as you had at one point?
Stephen Stamp: I'll take a stab at that, Jordan. The legislation in Australia, as I understand it, has been promulgated, but it has not been passed yet and may not be for a while, at least until the next session of Parliament and won't come into effect until July 2013. So, there's still a reasonable amount of uncertainty around the whole deal. But I think you can be pretty assured that the Board of EZ has a watching brief, and when the time is right, may or may not do something.
Jordan Hymowitz: Okay, but there's nothing that has changed fundamentally in their business that would make you less interested in that if regulatory clarity occurred?
Paul Rothamel: No. I don't think so today, Jordan, other than you're two years removed or a year and a half removed from the original deal, so we'd have to be looking at all of it in totality.
Jordan Hymowitz: Have they performed as well as your expectations in that intervening time period?
Paul Rothamel: I think, yes. They've been within the... I can't say anything publicly other than what they've said themselves, but I think they've performed in line with expectations, yes.
Jordan Hymowitz: Thank you.
Operator: The next question comes from Bob Ramsey from Friedman Billings Ramsey. Please go ahead.
Bob Ramsey: Hey, good afternoon. I apologize if I missed this earlier, but I was curious with your earnings guidance what that incorporates in terms of gold scrapping margin and volume from this quarter forward?
Stephen Stamp: It assumes a continuation of current trends.
Bob Ramsey: So, narrower margins and less volume?
Stephen Stamp: Yes.
Bob Ramsey: Okay, but you don't want to quantify it?
Stephen Stamp: Not really, because those two things are somewhat interrelated as Paul was just talking about. You can buy volumes to some extent.
Bob Ramsey: Yes. Okay. All right, thank you.
Operator: The next question comes from Bill Armstrong from CL King & Associates. Please go ahead.
Bill Armstrong: Oh, thanks. I had a second question and I forgot to ask before. That was, there is a bill in the House that is fairly new, the House of Representatives that is, that would put in federal regulations that in some cases could supersede state regulations for short-term unsecured loans. I was wondering if you had any thoughts on that bill, if this is something that if it passed you would view favorably or not?
Paul Rothamel: No. It's early in the process and we're following it through our lobbyists and through our association. We're just keeping an eye on it. Frankly, our preference, and I know there's some other discussion out there right now, but EZCORP's preference is state's rights. As complicated as that can be sometimes, we'd prefer the federal government leave it up to the states.
Bill Armstrong: Okay, great. Thanks.
Operator: That concludes the question-and-answer session for today. Please go ahead with any final remarks.
Paul Rothamel: Thank you for your interest and we look forward to talking to you on our year-end call. Thank you.
Operator: Thank you for participating in the EZCORP Fiscal 2012 Third Quarter Earnings Release Conference Call. This concludes the conference for today. You may all disconnect at this time. 